Operator: Good afternoon, and welcome to the WW International Second Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Corey Kinger, Investor Relations. Please go ahead.
Corey Kinger: Thank you to everyone for joining us today for WW International's second quarter 2021 conference call. At about 4 o'clock PM Eastern Time today, we issued a press release reporting our second quarter 2021 results. The purpose of this call is to provide investors with some further details regarding the company's financial results as well as to provide a general update on the company's progress. The press release is available on the company's corporate website located at corporate.ww.com. Supplemental investor materials are also available on the company's corporate website in the Investors section under Presentations & Events. Reconciliations of non-GAAP measures disclosed on this conference call to the most directly comparable GAAP financial measures are also available as part of the press release. Before we begin, let me remind everyone that this call will contain forward-looking statements. Investors should be aware that any forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company's filings with the Securities and Exchange Commission. Please refer to these filings for a more detailed discussion of forward-looking statements and the risks and uncertainties of such statements. All forward-looking statements are made as of today and, except as required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Joining today's call are Mindy Grossman, President and CEO; Nick Hotchkin, COO; and Amy O'Keefe, CFO. I will now turn the call over to Mindy.
Mindy Grossman: Thank you, Corey. Good afternoon, everyone. When we spoke to you in May, we believed that as the world reopened, the timing of which would vary by geography, consumers would be increasingly inspired to restart their health and wellness journeys creating a demand lift outside of our typical seasonal cadence and positively impacting the entire category. However, the strong digital year-over-year growth momentum in Q1 slowed in the second quarter as we cycled against strong digital performance in 2020. Therefore our results did not meet our revenue and operating income expectations. While people are acknowledging their need for re-committing to weight loss and wellness our recent consumer research shows that at the moment they're also asking for a pause to enjoy social reconnection. With both traffic and search under pressure, this sentiment shift appears to be across the Weight Loss and Wellness category. Our updated financial outlook reflects our revised expectations for full-year subscribers' revenue and operating income. Since we cannot assume that sentiment will snap back in our favor during the post Labor Day back-to-school season, which historically has been a reset moment. At this time we're planning appropriately and are implementing a comprehensive plan to optimize our second half performance. We're extremely excited about our Food Program Innovation launch and trajectory for 2022. We are continuing to manage through the evolving environment with agility and flexibility while we made progress on developing and preparing for the upcoming innovation launch later this year. We will discuss our performance improvement actions in further detail shortly, but first I'd like to review the key highlights of the second quarter. We ended Q2 with 4.9 million subscribers, down slightly year-over-year and from Q1 end. We ended the quarter with digital subscribers of 4.1 million, up 6% year-over-year, and a record high for our Q2 end with subscriber growth in each of our major markets, increasing retention and adoption of our new Digital 360 membership helping drive continued growth. While a strong level overall, it is down from 16% growth in Q1. Now available in our five largest geographic markets, Digital 360 ended the quarter with approximately 230,000 subscribers, up from approximately 150,000 at the end of Q1. By modernizing how we deliver the WW program, this industry-first interactive coaching and content experience is generating excitement for both new and returning WW Digital members who are upgrading to this premium membership. End of Period Workshop subscribers were 748,000 in Q2, up slightly from the end of Q1, a notable improvement in the trends as we unlock pent-up demand from members who find an in-person coach and community to be essential to their weight loss and wellness journey. Our Workshops business now has a more flexible cost structure. We are managing this business in a new way that can accommodate a range of volume scenarios, while still delivering strong gross margins. Overall, member retention continues to extend as an all-time high of over 10 months. In addition to continued strong Digital retention, which is now nearly 11 months’. Workshop retention has improved sequentially each month since February recovering from the temporary contraction due to COVID. As we have discussed many times, we are highly focused on continuing to grow retention with the aim of having it exceed one year. Achieving that goal would provide notable unlock in our subscription model and reduce the seasonality of our business. Turning to our consumer products business, which includes our e-commerce channel; it is only 18 months since we incorporate e-commerce into our app and we believe it is a solid platform for continued growth. Total consumer product sales were in line with the prior year period, but the low plan due to a combination of internal and macro factors and as we cycled against extremely strong performance a year ago at the start of the pandemic. This is the fifth consecutive quarter we delivered an adjusted gross margin of approximately 60% or higher demonstrating the strength of our high margin digital subscription model and the enhanced flexibility of our cost structure. In summary, over the past 12 months, our global teams accelerated our digital transformation and successfully drove our business forward through innovation, creativity and focus, all while navigating an uncertain and dynamic environment. Moving forward, we have a comprehensive plan to optimize performance in the second half and position WW for growth in 2022 and beyond. I will speak more about our go-forward plans including our upcoming 2022 program innovation and marketing plans shortly. But first, I will turn it over to Nick to discuss our operating performance in more detail.
Nick Hotchkin: Thank you, Mindy. I'd like to share some additional color on the performance of our global markets. We ended the quarter with digital subscribers of 4.1 million. While the Q2 ends high this was lower than expected. As Mindy discussed, consumer behavior and motivation for weight loss and wellness did not spike in the way we had anticipated. Instead sign of trends followed a more typical seasonal pattern. Therefore, the expanded June U.S. campaign and incremental marketing investments in TV and digital did not dive the impact that we had hoped. In April, D360 launched in Germany, France and Canada delivering an interactive in-app coaching and content experience uniquely adapted to each market. Serving approximately 230,000 members in five global markets, our data and analytics capabilities continued to advance and inform our optimization of the D360 experience driving engagement, satisfaction and weight loss success. While workshop end-of-period subscribers continued to be down year-over-year, which was due to the significantly low starting base as a result of the pandemic pressure on recruitment over the past year, the trend is improving. U.S. Workshops sign of trends have been positive while the recovery is slower in countries that have not yet reopened or remain under tight restrictions. Over the past year, we have realigned our physical footprint, so we are now moving with the most flexible cost structure we have ever had. We are managing this business in a new way with a small footprint augmented by highly flexible studio apps or third-party locations as well as a highly scalable virtual workshop experience. We have initiatives underway to further optimize this business and we aim to return workshops to a 40% plus gross margin in 2022. As part of our restructuring plans, we closed 64 of our U.S. studios in Q2, resulting in the $5 million restructuring charge in the quarter on top of the 127 closed during Q1 and about 150 closed during 2020. As a reminder, we expect to have approximately 450 WW branded studios in the U.S. at the end of 2021, down from about 800, pre-COVID. These locations are augmented by a highly flexible network of third-party studio app locations, which are very short term, typically hourly rental arrangements. As the lean demand environment continues to improve we anticipate ending the year with about 600 such locations in the U.S. ensuring the availability of WW workshops to the majority of the population with over 70% of U.S. households within a 15-minute drive to our location and about 90% within a 30-minute drive. Our virtual workshops which were created out of necessity at the beginning of COVID continue to be a valued experience even as members return to their local in-person workshops as many members enjoy the convenience of having both. We believe virtual workshops will continue to be a powerful tool for member engagement and retention. Finally, our Consumer Products business; we are confident in the e-commerce growth opportunity and expect this channel to be an approximately $100 million revenue business in 2021, up about 35% year-over-year, positioning us for accelerated growth in 2022. Even with all the e-commerce success we have seen over the last 18 months since we re-launched this business and integrated it into our app we are still just scratching the surface. Our growth initiatives include: further integration into the app experience, driving repeat purchases, maximizing week 1 orders, enhancements to member marketing, and offering a broadened assortment of products without carrying additional inventory for marketplace partners. While traffic to our e-commerce shop was lower than anticipated in Q2, largely due to member sign-ups coming in below forecast, we are pleased that members are back to shopping in our studios in the U.S. Total consumer product sales were relatively flat year-over-year on a global basis. On the broader macro side, a number of challenges are impacting global supply chain lead times, which resulted in many of our public products being out of stock during the quarter. We are addressing these issues and expect e-commerce sales to return to growth in Q3. In summary, while our overall performance did not meet our expectations, we are taking course corrective actions and have a clear plan to maximize performance in the second half. Our record-high 61% adjusted gross margin is testament to the reductions in our fixed cost structure and to the strength of our digital subscription model. Before I turn it over to Amy to review our Q2 financial performance and outlook in more detail first, I'd like to reiterate our focus on the healthcare and diabetes market. As we have discussed diabetes is a particular area of focus. We see a clear opportunity and responsibility to provide a solution for this population's unique needs. According to the American Diabetes Association, in the U.S. alone, nearly 27 million adults have been diagnosed with diabetes and there is a high correlation between obesity and Type 2 diabetes. As Mindy will discuss shortly, by introducing a tailored food plan for people with diabetes, in 2022, we aim to better serve this population with our science-based effective and proven program. And now, I'll turn it over for Amy to discuss our financial performance and outlook.
Amy O'Keefe: Thank you, Nick. Compared to our prior outlook, Q2 was a challenging quarter for the top line. We anticipated the year-over-year revenue decline in workshops of nearly $50 million. However, we did not deliver on our plan for digital subscription revenue and consumer product sales. While up 6%, we expected digital subscribers to be up in the double digits at the end of Q2 but strong digital performance in the prior year proved to be difficult to outpace in this environment. In Q2 of 2021, total revenue of $311 million was down 10% year-over-year on a constant currency basis with a workshop subscription revenue decline of nearly $50 million or 43% in constant currency. This was partially offset by a growth in digital subscription revenue, which increased 11% year-over-year on a constant currency basis in Q2. Digital subscription revenue is now 75% of total subscription revenues. We ended Q2 with 4.9 million subscribers, down 2% year-over-year. The 6% increase in digital and End of Period subscribers, largely offset the declines in workshop subscribers. At Q2 end, 85% of our members were digital subscribers. Adjusted gross margin was 61%, up approximately 100 basis points from the prior year as a result of the mix shift to a larger digital subscriber base. Additionally, timely cost reduction actions taken to right-size the fixed cost base of the Workshop business mitigated further deleverage. The planned reduction to our workshop real estate footprint continued in Q2 resulting in a $5 million restructuring charge in the quarter. In addition, our refinancing transaction closed within Q2 resulting in a one-time debt extinguishment charge of $29 million. Incorporating the $0.36 negative impact of restructuring and debt extinguishment costs, Q2 GAAP EPS was $0.12. Turning to our outlook for the full year, in light of current trends we are planning the second half of the year more conservatively than our prior plan and are reinstating our practice of providing full year guidance. Incorporating Q2 member sign-up trends into our full-year outlook, we now expect full year 2021 revenue to approach $1.3 billion. Digital revenue is expected to be up approximately 10% year-over-year offsetting more than half of the expected decline in workshop revenue. Consistent with current trends, we are modeling End of Period subscribers to be more in line with historical seasonal patterns, despite continued improvement in retention and the support from the Food Program Innovation launch in Q4. At year-end, we expect the mix of digital and workshop subscribers to be consistent with last year. Gross margin for the full year is expected to expand by approximately 275 basis points from prior year, which is up from our prior estimate. As Mindy mentioned, we continue to be focused on cost management to maximize back half financial performance with the revised revenue outlook. The same disciplined approach that we took to evaluating our workshop fixed cost structure is applied to every investment decision prioritizing investments in digital product and technology growth initiatives that drive member engagement and retention. Excluding restructuring charges, we now expect full year G&A expense to be approximately $270 million to $275 million. This reflects a more than a $10 million reduction of G&A expense compared to our prior 2021 outlook. In addition, we will continue to execute our marketing strategies efficiently investing behind our fall and winter campaigns to maximize member recruitment while remaining flexible to balance investment with impact. We expect full year adjusted operating income in the range of $240 million to $255 million. GAAP EPS, which incorporates an approximately $0.53 per share negative impact from one-time items is expected to be in the range of $1.10 to $1.25, which is above the $1.07 we reported last year. Note, this reflects the benefit of lower interest expense from our debt refinancing. To assist with your modeling of Q3, revenue is expected to be down in the low single digits, which is an improvement from the workshop-driven declines in the first half. Growth from digital revenue and consumer products and other revenues is expected to offset a nearly 25% year-over-year decline in the workshop business. Marketing expense is expected to be approximately $40 million in the quarter, relatively flat year-over-year and G&A expense is expected to be under $70 million, up about $10 million year-over-year as we lapped a temporary cost savings initiatives in the year ago quarter. We expect to incur one-time restructuring costs in the range of $6 million to $8 million related to our G&A cost savings initiatives. Turning to our capital structure and cash priorities; at Q2 end we had approximately $126 million in cash and an undrawn $175 million revolver. We ended the quarter with a net-debt-to-EBITDA leverage ratio of 4.3 times. Reflecting the new interest rates on our debt, our full year interest expense is now expected to be $88 million. Excluding the impact of restructuring charges on our P&L, we expect our full year tax rate to be approximately 22%, which assumes no changes to the current statutory rate. Capex, primarily driven by capitalized software is expected to be in the $40 million range in 2021. D&A is expected to be $46 million including accelerated depreciation related to studio closures. We expected our year-end net debt leverage ratio to be closer to 4 times by year-end. In addition to continued investments in technology and digital product resources, which fuel the future growth of the business, we will continue to evaluate the potential to acquire remaining franchise territories. In summary, we are taking decisive actions to mitigate the impact of the current demand environment. We are confident that we are effectively balancing near-term performance expectations with advancing growth opportunities in 2022 and beyond. I will now turn the call back to Mindy.
Mindy Grossman: Thanks, Amy. As we discussed on our last call, we have been focused on four key priorities for 2021. One, creating greater engagement and elevating the member experience, which is clearly driving retention. Second, building our Digital 360 to expand and diversify our member base by elevating content, coaching and community. Third, preparing for the success of our 2022 Food Program Innovation leveraging science leadership to drive growth. And fourth, expanding into healthcare and diabetes to reach new audiences and have a greater impact on health outcomes. In addition, we have developed a comprehensive plan to maximize performance in the back half of the year. Our focus is on executing key marketing initiatives. As we plan our fall marketing campaign our research shows that the livability of the WW program continues to resonate with consumers who are in the mindset to start a weight loss and wellness journey. We intend to continue focusing and now WW allows you to achieve your goals while being able to enjoy life fully reinforcing our superior weight loss efficacy and sustainability messaging. Our fall advertising creative will feature real WW member sharing their stories and celebrating success. You'll see these messages across all touch points across paid, earned and owned channels. As we prepare to launch our new Food Program Innovation with the most comprehensive winter campaign in our history we are thrilled that Oprah has been deeply involved and is excited about the potential to motivate people as they recommit to prioritizing their health and wellness. Now, more than ever, she feels that WW can be that partner to help people live their best healthiest live. Second, advancing our data science analytics capability; over the past year, we have re-architected many of our processes and systems to provide greater insights into member engagement and behaviors and instill a data driven culture across every area of the business. We're applying key insights from our data teams across every aspect of our operations to further personalize the member experience, maximize engagement and efficacy, enhance marketing efficiency and expand lifetime value. And finally, managing costs tightly; as Amy discussed, we are applying strong cost discipline to our organization taking costs out of G&A and investing only in the areas that will drive growth. Now, I'd like to close with an update on our 2022 Food Program Innovation plans. As we previewed earlier our 2022 Food Program Innovation will make our program even that much more personalized. Where my WW created our first program that matches with the Food Program that will work for you, our next program will design a plan uniquely and specifically for you by incorporating your personal preferences to create a flexible, customizable holistic plan that is as unique as you are. In combination with an enhanced and engaging member onboarding experience we are confident that the new program will make weight loss and wellness even more simple, livable, efficacious and sustainable. Our leadership and credibility and science-based weight loss and wellness is a key competitive advantage and is why our members trust WW. We are highly encouraged by the three months data from University of Connecticut study of our new Food Program, which showed impressive improvements in weight as well as consumer acceptability, livability and wellbeing. Our upcoming 2022 Food Program is an essential part of launching a dedicated WW offering specifically designed for people with diabetes. As part of the overall Food Program Innovation launch later this year members who indicate they have diabetes will receive an individualized food plan tailored for their food needs. We are currently conducting a clinical trial testing our diabetes program and consumer testing is also well underway. In our pilot, participants have been highly satisfied with our new food program and its tailoring to people with diabetes. Importantly, the 2022 Food Program Innovation is just a first phase of offering a comprehensive WW diabetes program. We have a robust product roadmap for a broader launch in the second half of 2022 encompassing content features and support specific to this express consumer need. Across functional multi-year effort behind this innovation was the most comprehensive and well-executed that I have seen. We believe our Food Program Innovation will be a significant member recruitment driver in 2022. Clearly, we are taking actions to improve the near-term trajectory of the business and we remain focused on executing the critical priorities that will drive profitable growth in 2022 and beyond. There is no shortage of statistics and stories about weight gain during the pandemic. A research letter published in the Journal of American Medicine in March 2021 found that Americans who sheltered in place weighed more than a half a pound every 10 days, which could mean 20 plus pounds in a year. In the UK, Public Health England survey of 5,000 adults found that 41% said they've gained weight since March 2020 putting on nearly half a stone on average and 21% putting on a stone or more. While the timing of everyone's next normal is highly personal and they vary greatly by market and individual's situation it is clear that the world needs WW more than ever. As the number one doctor recommended weight loss program we will be there providing guidance, motivation and support whenever they are ready to begin their weight loss and wellness journey. So in closing, I want to highlight the following points: Overall member recruitment trends are following a more typical seasonal pattern than we anticipated earlier this year. We continue to benefit from our flexible digital subscription-based model with strong gross margins. We are seeing interest in workshops increase as the economy reopens, demonstrating the relevance of our workshop offering. Retention is at an all-time high as we see strong engagement amongst our members. We are managing our cost structure, particularly in the second half of this year and preparations for the launch of our 2022 Food Innovation Program are well underway and we are excited about developing our diabetes offering. Overall, we are confident we will expand our global impact and deliver on our vision for value creation and growth. Thanks for joining us today and we are now happy to take your questions.
Operator: [Operator Instructions] The first question is from Steph Wissink of Jefferies. Please go ahead.
StephWissink: Thank you. Good afternoon, everyone. Mindy, I wanted to come back to a comment into your opening remarks regarding just the overall level of fatigue with wellness and give us some other data points that you're seeing that might signal that it's not just WW, but maybe a more broad or macro issue related to just the overall level of attention on wellness?
Mindy Grossman: Sure, I'll answer that, but let me kind of give you some context of what we saw from the last time we had a conversation about trend and why we were more bullish going into Q2. The momentum that we saw in Q1, which was significant double-digit growth, was continuing and feeling that with the world opening up that would incentivize people to want to go further on their weight and wellness journey. That did not happened to the degree we expected, particularly as we were comping very significant digital growth across Q2. As you know, we do significant qualitative and quantitative consumer sentiment work. We had done that in first quarter starting in January and we did that again across multiple countries. What we did learn from that, is that to my earlier point with people in many markets, particularly our largest market in North America and U.S. coming out. People wanted to focus more on their enjoyment than immediately going into a weight loss program, particularly in the summer months. Additionally, we have been following the data points of everything from growth trends, other data points. And we have seen suppression overall in the weight loss category. So it's a combination of those things that did not enable us to achieve our original expectations for the quarter.
Nick Hotchkin: Yes Mindy, look the only thing, the only thing I’d like to add there is as you heard in our remarks, so given the prevalence of weight gain join the pandemic, it does feel like a temporary dislocation. We can't be exactly sure when it's going to balance back, but we'll be ready with - our fall campaign that starts September 5 to drive interest in our program.
StephWissink: Okay, that's helpful. And then maybe Amy, as a follow-up to that, just what's contemplated in the guidance for the year? Do you think about the second half and the effectiveness of that fall marketing campaign or are you carrying forward the current run rate that you saw exiting the second quarter?
Amy O'Keefe: Yes, if you look at the current spread of guidance, we felt it was appropriate to take a more conservative approach. Clearly, we're doing everything we can to maximize our performance and - particularly our digital growth in the back half. As we've mentioned our campaign launches September 5. We feel strongly about it as well as you heard me speak a lot about our launch of our innovation starting in November with our big marketing campaigns coming out after Christmas. So the combination of those three things obviously, we feel we have the potential to accelerate growth, but in the current guidance given what we experienced in Q2 we're trying to be appropriate.
Mindy Grossman: And then specifically our guidance reflects that our end of period subscriber curve follows a more historic seasonal trend. And so I think that you'll find it's a more conservative approach to the back half and we're looking at our cost base accordingly and making changes as appropriate.
Operator: The next question is from Michael Lasser of UBS. Please go ahead.
Michael Lasser: Thanks a lot for taking my question. So it seems like the dynamic that's happening is, people have been stuck at home. They're home based, they are excited to get out. So the last thing - or they're not as excited to go and focus on their wellness. How long do you think that's going to last? And are you seeing any regional differences whether in the U.S. or around the world that you could point to as evidence to say, hey, for those markets that are - are going through X, Y, Z are actually think that a trend which provide us with some level of confidence and encouragement so this will be a short wave type dynamic?
Mindy Grossman: Yes, just to give you a perspective, typically on the seasonality, you see a resurge up after Labor Day going into the fall season. That's the normal seasonal curve that we would normally expect. But as I mentioned before, we're trying to be strategic and appropriate in the guidance, but clearly we're putting all our efforts into maximizing the fall season going into winter. I can let Nick talk a little bit more about kind of market differentiation.
Nick Hotchkin: Yes, in terms of market differentiation, our digital trends around the world are - say a more similar than different. The main difference in our trends has been positive trends in workshops, particularly in the United States as you'd expect with a lot of the international countries being effectively on lockdown until early June. As we look forward to you question, Michael, can't be exactly sure whether it will bounce back. Back-to-school season has definitely been the strong moment for this company. We do know that we've got a great Food Plan Innovation coming and that historically has lifted all boats and has been a typically a good moment to bring lapsed workshop and digital members back to the brand with a Food Plan Innovation.
Michael Lasser: And I know it's early, but as we look out towards 2022, you're going to have the new food innovation out, you're going to have the consumer being further into the reopening and maybe at that point a little bit more focused on wellness. You'll have more time with some of these strategies under your belt? Is 2022 a year that we can expect your performance will be nicely higher than 2019? Are there any obstacles that you see is getting in your way that will lead to longer-lasting challenges that you're going to have to face?
Mindy Grossman: Michael that would be our expectation and if you recall, we entered 2020 having launched myWW with tremendous strength. If you look at Q1 2020, even with the challenges in the last few weeks and everything that shutdown for COVID was very strong performance particularly from Q4 to Q1 and then just Q1 year-on-year in general. Obviously, we spend a significant amount of time in 2020 really focused on rightsizing workshop business, some of the challenges there; continue to focus on our digital subscription business, our technology, et cetera. So we feel that the opportunity, certainly in 2022 is to get back to the trajectory that we feel the business has an opportunity to achieve.
Amy O'Keefe: And even to put some more color on that Michael, Mindy mentioned the Q4 to Q1 lift in the Food Innovation launch. If you go back to 2016, for example, SmartPoints lifted end of period subscribers by almost 30%, Freestyle lifted end of period subscribers by a little over 40%. And so we're really excited about the impact of the Food Program Innovation and 2022 growth.
Operator: The next question is from Edward Yruma of KeyBanc Capital Markets. Please go ahead.
Edward Yruma: Good afternoon and thanks for taking the questions. I guess first, as you look at - I know that you only have a consumer that maybe comes back every couple of years to the program. Are you seeing any trends in the return of consumers in terms of the frequency by which they're coming or the interval? And in particular, are you seeing any changes on whether they're re-entering digitally or in the physical studios? And then there's kind of a bigger picture question - we've seen a lot of discussion over many years on body positivity. I know a lot of people lose weight for different reasons health and aesthetics. Do you think that there are any - bigger picture changes that are maybe changing the interest in weight loss? Thanks.
Mindy Grossman: Sure. I'll talk to them both. In terms of our member profile, what we didn't see is this huge returning influx of studio members going to digital. What we're seeing now is studio members - that mix of studios coming back because they want that coach, they want that community. So I think that's important to note and we're seeing the trend of studios coming back, obviously in the markets where things are more open. What we also tend to see, in particular in a Food Program Innovation year is a very strong influx of lapsed. So, if you recall in 2020 in the - not only did we have strong digital subscription growth in the quarter, we had strong studio growth as well in both lapsed and new. So we see that opportunity there. I'd say the third thing with the launch of D360 we are seeing diversification of our member base as well as digital members coming in and upgrading to the more fulsome vertical, which obviously is at a higher price point. So it's a benefit to us. So that's like the member side. I would say on the body positivity side, I think, what people don't realize is, we're probably the biggest proponents of body positivity in the marketplace. We don't tell people what they should weigh. We say, what does healthy mean to you? And that was very significant in our move to a holistic approach to wellness certainly incorporating weight loss, but to really build out our full ecosystem of health to be able for people to determine what they wanted to be. And that message from us is carried and very clear because to your point, it definitely is a movement.
Operator: The next question is from Lauren Schenk of Morgan Stanley. Please go ahead.
Unidentified Analyst: This is [Nathan Carter] on for Lauren. Just two quick ones from me. On the first part, to what extent was kind of a higher marketing rate environment a headwind to recruitment within the quarter? And then are you able to give any update on the Health Solutions business? And I know previously you had talked about that being a potential boost kind of counter cyclically to second half subscribers. Are you still potentially expecting that in the back half? Thank you.
Mindy Grossman: Can you repeat the marketing question one more time?
Unidentified Analyst: Yes, so just on marketing, did you see any potential headwinds from an efficiency perspective from the higher rates in the quarter?
Mindy Grossman: So we have done a tremendous amount of work over the past years in really working on the efficacy of our marketing spend. Clearly, in some channels there are certain pressures. We've also diversified our marketing spend across platform and channels. So that's what we really focused on. And in particular, you'll see that focus in our fall marketing campaign across platforms. I'll let Nick talk to Health Solutions.
Nick Hotchkin: Yes, look, we're very bullish on our long-term healthcare and diabetes growth opportunities and Adam Kaufman and the team are very focused on delivering that growth. On the health solutions side, wonderful growth potential there considering our sales that has with our aggregator partnerships such as CVS, physician referral, et cetera. And as you heard we are particularly excited about this entry into the diabetes market. In tandem with our Food Plan Innovation for people with diabetes being able to identify themselves and get a tailored individual food plan that suits their needs is a huge step forward for us in serving a very important segment.
Operator: The next question is from Jason English of Goldman Sachs. Please go ahead.
Jason English: Thanks for slotting me in and good evening. A couple of quick questions, first, Mindy and team, I know in the past, we've talked about addressable market you've consistently said this and your biggest competition is - your biggest opportunity is source from - is the DIY consumer, which by nature implies is the biggest competition. And if we look at packaged foods sales like Atkins is having a banner year right now with sales up handedly above 2019? The last time I looked at SlimFast it looked similar. So the data there doesn't suggest that a consumer is disengaged with weight loss and instead it suggests they've just may be engaged with weight loss on a DIY basis. Love to hear you weigh in on that view because it sounds like you've taken a holistic view of the market? I perhaps maybe have a bit more of a myopic view. Would love to be able - to hear how you put that in perspective of what we're seeing on the DIY side versus what you're saying is a broader consumer movement or lack of movement towards weight loss right now?
Mindy Grossman: Well, I would say, it's a combination. We have always said it, that our biggest competition is consumers trying to lose weight and get healthy themselves. That we don't see changing, right? I think that's been the history of the company whenever we talked about competition. We've always said that competition is competition directly in the category - paid competition is DIY and competition, particularly in the digital world is the less weight experience someone had. So all that being true, what we're saying is in addition to that, we definitely saw some macro pressures specifically around desire for immediate weight loss coming out of kind of the COVID lockdown. That's kind of what we saw.
Jason English: But it does look like the bigger challenge is not getting consumers focused on losing weight. It's getting them focused on paying for a subscription-based service to lose weight?
Mindy Grossman: No, I think it's a combination.
Jason English: Maybe, maybe, it might be. I think what, 94% of the consumer is DIY and it's the 5% that pay. So it could be, but either way, I know Amy mentioned that this product program is expected to bring a lot of energy and I think you actually compared it to SmartPoints and Freestyle, which were pretty big sweeping program changes? So maybe I'm not really underestimating this product upgrade if you're putting it on the same playing field as those. So can you give us some more context and color around the magnitude, like what you're branding, what is the support that's going to give us the kind of energy we saw from those two big program changes?
Mindy Grossman: Yes, and I'm going to actually add a third, myWW was as significant. One of the things that is definitively one of our greatest assets is the scientific work that we do around innovation and constantly iterating on our program to make it more livable, more efficacious and definitely in this circumstance, more personalized. So think of every person having their personalized WW program, that's very powerful, that's a very strong message. I mentioned before that we're very pleased with our clinical trials. We're further ahead than we've been in years past. So being able to craft our messaging, our launch strategies and couldn’t - tell my enthusiasm, I was here for the launch of Freestyle and myWW. So this is a launch that we plan on amplifying significantly.
Operator: The next question is from Doug Lane of Lane Research. Please go ahead.
Doug Lane: Can I drill down a little bit more on the Digital 360 effort? How is that performing relative to expectations? What have you learned so far a couple of quarters into it? And then what do you see on the horizon for changes heading into 2022?
Mindy Grossman: Yes, so we're very enthused about the opportunity D360. If you recall, the reason we created this new vertical very specifically to go after younger audience very specifically to focus on this idea of coaching on-demand content and community and that is what we are seeing. Now, obviously with a very new vertical that's very different an entirely new cohort of coaches in every market that's been launched much more external facing that what our traditional coaches for example in the field. So the product teams have been working very closely with content teams to really keep honing the experience, to keep elevating the engagement, which we're continuing to see so we can be ready to really more aggressively market and go after new audience. But everything that we are seeing to-date relative to the vertical is very positive.
Nick Hotchkin: So, I'd just say about 50% of first-time D360 members are Millennials. So it's really attracting a broader audience.
Doug Lane: Okay I’m sorry. I stepped on you there Nick, but is it living up to expectations?
Nick Hotchkin: Yes, yes, attracting 50% Millennials or younger in terms of first-time D360 join us, and if you - as in December, I would have said it would be thrilled to have 230,000 subscribers.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mindy Grossman for closing remarks.
Mindy Grossman: Thank you everyone. As you've heard today, we have a very comprehensive plan to optimize performance in the second half of the year. And in addition, ensure that we are positioning ourselves for growth in 2022. Our fall campaign launched in September 5 will be amplified across all platforms to take advantage of what we know is the seasonal engagement in that area. We are excited to launch our new Food Program Innovation in November, which we're confident will drive year-over-year growth in member recruitment and certainly position us for a successful 2022. We're seeing improved performance in the Studio business now with a significantly more flexible cost structure. Retention continues to expand. D360 has momentum and our flexible digital subscription-based model is delivering strong gross margins. And I think those are the important things to take away. But I'd also like to thank our teams around the world for their work, their agility, their focus, which has certainly been essential accelerating our digital transformation over the past 18 months. Allowing us to provide even more value to members and delivering coaching and community in new ways so, thank you again for joining us today and we certainly look forward to keeping you updated on our progress throughout the year.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.